Operator: Good day, everyone. My name is Lori, and I will be your conference facilitator for today. At this time, I would like to welcome everyone to the Live Nation Entertainment Second Quarter 2018 Conference Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements related to the company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings including the risk factors and cautionary statements included in the company's most recent filings on Form 10-K, 10-Q and 8-K for a description of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation of the most comparable GAAP measure in their earnings release. The release, reconciliation and other financial or statistical information to be discussed on this call can be found under the Investor Relations tab on investors.livenationentertainment.com. And it is now my pleasure to turn the conference over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment.
Michael Rapino - Live Nation Entertainment, Inc.: Good afternoon and welcome to our second quarter 2018 conference call. We've continued our strong performance in the second quarter with AOI up 18%, revenue up 7%, and free cash flow up 14%. Each of our businesses contributed to these results, all delivering double-digit AOI growth for the quarter. We have built the industry's most scalable and unparalleled live platform, bringing over 550 million fans in 40 countries to live events each year. With our key metrics in Concerts, Sponsorship and Ticketing, all pacing ahead of last year, I'm confident that 2018 will again deliver double-digit AOI growth for the company. Starting with our concert business, which is our flywheel, and through July we have sold 70 million tickets to shows this year, almost 3 million tickets more than last year at this point, putting us on track to have over 90 million fans in our concerts this year. In the second quarter, we promoted 9,000 shows for over 25 million fans, delivering a 13% increase in AOI and 6% revenue growth. As we previously indicated, this year will be particularly strong in our amphitheaters, with attendance up double-digits to the second quarter and on track to grow by 3 million fans for the full year. Given our ability to drive high-margin on-site spending with this audience, these additional fans are highly profitable. At the same time, we continue improving on-site experience at our amphitheaters, driving increased spend per fan, with additional points of sale, improved product mix and optimized pricing. From this and other initiatives, we expect spend per fan to accelerate this year increasing by $2.5 to $3. We also continue to capture greater value for the artists and Live Nation through pricing optimization, delivering more of the market value to the artists. As a result, average ticket pricing is up double-digits in amphitheaters and arenas so far this year, driving a $500 million increase in revenue for the year, assuming consistent price increases continue. Through the second quarter, we have booked 5,000 arena and amphitheater shows, up 18% over this point last year, putting us on track to sell over 90 million tickets of 32,000 shows and deliver double-digit AOI growth in our concert business. Our Sponsorship business continues to grow rapidly, with AOI up 14% and revenue 12% for the quarter. The strength of our platform and our ability to provide direct engagement with over 90 million fans has enabled us to continue building relationships with strategic brands that have driven much of our growth. This group accounts for 75% of our total sponsorship and the number of these sponsors has grown double digits this year, as we have added relationships with companies such as American Eagle, General Mills, Rémy Martin. As a result, the committed spend by these strategic sponsors is also up double-digits through mid-July. Festivals provide a key opportunity for sponsors to engage fans at a time when they are receptive to such brand messages. Our European festivals have grown particularly strong in the second quarter, with revenue per fan at these festivals up 12%. Overall, through July, we are pacing double-digits ahead of last year in committed revenue, with 90% of our planned revenue for the year committed. Given this, I expect we delivered double-digit AOI growth in Sponsorship again this year. Ticketmaster continues to demonstrate that it's the best marketplace for venues, team and artist to sell tickets to fans globally, with GTV growth on fee-bearing tickets up 11% this quarter. As a result, Ticketmaster's AOI for the quarter was up 15% and revenue up 13%. At its core, Ticketmaster continues to be the most effective ticketing platform in the world, with the technology to service venues, sports teams and artists and the marketplace to attract and convert ticket buyers. Our digital ticketing rollout is proceeding on plan with Phase 1 in 2018 focusing on deploying our Presence access control systems. To date, we have installed Presence systems in 125 venues, with another 75 venues planned in the second half of this year, positioning us to have at least 60 million fans using this system next year. In addition to building technologies to better service our venues, artists and teams, we continue investing to make Ticketmaster an even better marketplace for fans to buy tickets. In broadening ticketing options for fans, we have increased the number of events listed on Ticketmaster by 16% this year to almost 280,000 events through June. From a fan behavior standpoint, we continue to see an ongoing shift to mobile, and following a redesigned purchase experience, mobile ticketing sales were up 34% for the year, now accounting for 40% of all ticket sales, with mobile conversion rates up double-digits. Overall, Ticketmaster results are validating our strategy of delivering efficient marketplace for fans to buy tickets, while providing a great enterprise software solution to venues, teams and artists looking to maximize the value of their events. With this strategy's continued success, I expect us to deliver high-single digit growth in Ticketing AOI this year. In summary, 2018 is on track for the company to deliver double-digit AOI growth, along with strong gains in revenue and free cash flow. Each of our businesses is contributing to this success, as we put on more concerts for a greater number of fans, continue to monetize fans who come to the shows and sell more tickets to events of all types and further demonstrate the value of our 90 million fans to sponsors. With that, I will turn the call over to Joe to take you through additional details of our performance this quarter.
Joe Berchtold - Live Nation Entertainment, Inc.: Thanks, Michael. Before I get into the division numbers, as a reminder, we're now comping against Q2, 2017, which was our highest AOI growth quarter ever, with $40 million or 22% overall AOI growth, including 51% Concerts AOI growth and 21% Sponsorship AOI growth. Against that backdrop, this quarter was our third largest AOI growth quarter ever, with AOI up another 18%. Getting into our business segments, first Concerts, Live Nation Concerts' AOI in the second quarter was up 13% and revenue was up 6%. Driving that growth, Concerts had its highest second quarter attendance ever, including arena attendance growth of 17%, with over 7.5 million fans, amphitheater attendance growth was up 14% and is trending to grow by 3 million fans this year, and global festival attendance was up 3% across 33 festivals in the second quarter, with record crowds at 14 of these festivals. Looking to the full year, again, this year we expect to promote about 20 of the top 25 global tours and we have already sold almost 70 million tickets for shows this year through July, an increase of 4%, consistent with our expectation of surpassing 90 million fans for the full year. Our pipeline of amphitheater and arena shows continues to be very strong with over 5,000 shows booked through July, up 18% compared to this point last year. Festival ticket sales are up double-digits through July and we expect our 100-plus festivals will host almost 9 million fans this year. Coming off the biggest stadium year in the history of the company in 2017, we expect our stadium show count and attendance will be a bit lower this year, but will still be our second-largest stadium year ever, with over 250 shows globally. As we now have good visibility into the full year, we expect double-digit growth in amphitheater on-site spending, increased ticket pricing and mid-single digit growth in fan attendance, and we are therefore confident that we will again deliver solid double-digit growth of Concerts' AOI for the full-year. Turning to our Sponsorship & Advertising business, our Sponsorship business benefited from our Concerts flywheel, helping drive AOI up 14% this quarter, while revenue was up 12%. In the second quarter, over 60% of the AOI growth was from Sponsorship, split fairly evenly between North America and International. Our North America online business drove the remaining AOI growth for the quarter, driven by new ad units in the financial services category. Based on the Sponsorship & Advertising net revenue now contracted for the year, we're confident we will again deliver double-digit AOI growth for the full-year. Finally, Ticketmaster, for the second quarter, Ticketmaster AOI was up 15% and revenue up 13%. Total global GTV was up 7% for the quarter and global fee-bearing GTV was up 11%. This came from a 9% increase in primary GTV and 29% growth in secondary GTV. North America was the primary driver of our fee-bearing GTV growth, up 15% for the quarter. Concerts activity continues to be the primary driver of GTV growth, accounting for approximately 80% of primary GTV growth so far this year and secondary growth was also heavily driven by concerts, with sports, and notably, the NFL also providing material growth in the quarter. Based on our results for the first half and our second half pipeline, we expect Ticketmaster to deliver high-single digit AOI growth for the full year. In summary, now more than halfway through the year, we are confident that 2018 will be another year of record top line and AOI results overall and for each of our businesses. On a few specifics, we expect Q3 AOI overall to be up low-double digits, and on FX, we had a 1% to 2% positive impact on the business in Q2 and expect to largely give back in Q3 what we gained in Q2. I'll now turn the call over to Kathy to go through more on our financial results.
Kathy Willard - Live Nation Entertainment, Inc.: Thanks, Joe and good afternoon everyone. Our key financial highlights for the second quarter of 2018, our revenue was up 7% to $2.9 billion. AOI increased 18% to $260 million. Free cash flow adjusted was $176 million, up 14% compared to the second quarter of 2017. And as of June 30, our deferred revenue related to future shows was $1.6 billion. The increase in revenue was across all our segments. Concerts was up $131 million or 6%, driven by arena and amphitheater activities. Sponsorship was up 12%, with growth in both North America and Europe, and Ticketing revenue was up 13% from increased fee-bearing ticket volumes. Our AOI growth of 18% for the second quarter was again driven by all three segments with each delivering double-digit growth. Our operating income for the quarter was $135 million, a 19% increase over last year, driven by the growth in AOI. And net income for the quarter was $69 million, as compared to $81 million last year, due to the impact of higher interest expense and non-controlling interest expense, along with increases in net foreign exchange rate losses. For the quarter, the impact of earnings per share from the accretion of redeemable non-controlling interest was $17 million, fairly consistent with the first quarter of 2018. For the first six months of 2018, revenue was up 11% to $4.4 billion. AOI increased 19% to $374 million and free cash flow adjusted was $222 million, up 23%. All of our segments delivered double-digit growth in revenue, operating income and AOI for the first six months. The majority of the revenue growth in the first half of the year was in the Concerts segment, up 10%, largely from increased show count and attendance in arenas and amphitheaters. Sponsorship & Advertising revenue increased 14%, with strong growth in North America, and Ticketing revenue was up 16% from higher fee-bearing ticket sales. AOI growth for the first six months was from strong increases across all three segments. Operating income was up 40% to $129 million from the increase in AOI. And net income for the first half of the year was $35 million compared to $48 million last year, due to the impact of higher interest expense and non-controlling interest expense, along with increases in net foreign exchange rate losses. For the first six months, the impact to earnings per share from the accretion of redeemable non-controlling interest was $34 million, and we currently estimate that the impact for the full year will be approximately $75 million, with the remainder for the year fairly consistent across the last two quarters. Moving to our balance sheet, as of June 30, we had total cash of $2.3 billion, including $734 million in ticketing final cash and $1.1 billion in net concert event related cash, leaving free cash of $458 million. Net cash provided by operating activities for the first six months was $520 million compared to $805 million last year, due to the timing of event-related working capital amounts, primarily related to artist deposits impairments to ticketing clients. Our total capital expenditures were $94 million for the first six months, with over half spent on revenue-generating items. We currently expect total capital expenditures for 2018 to be approximately $250 million, with roughly half on revenue-generating CapEx. As of June 30, our total net debt was $2.8 billion and our weighted average cost of debt was 4.1%. For the remainder of 2018, we currently expect that non-cash compensation expense in the second half of the year will be fairly consistent to the first six months, and acquisition expenses and interest expense for each of the last two quarters of 2018 will be similar to the second quarter of 2018. Thank you for joining us today. Operator, we will now open the call for questions.
Operator: We'll go first to Brandon Ross at BTIG.
Brandon Ross - BTIG LLC: Hi. Thanks for taking the question. Couple of questions actually. If you look back at your geographic mix over the last several years, International has maintained a pretty constant share of, I guess, your revenue and AOI. What in your mind has held International back from becoming a bigger part of your business? Is balance sheet or access to capital your biggest constraint to unlocking your global opportunity? And then I have some follow-ups.
Michael Rapino - Live Nation Entertainment, Inc.: And thanks, Brandon. No, I don't think the context is that we've been holding back the International growth. The great news is the U.S. business has continued to grow at exceptional rates. So we look at both a global footprint of huge International opportunity long term, but we also see in the U.S. a market that still has great runways and a lot of markets that we're still not in, cities within the U.S., sponsorship and pricing, monetization and amphitheaters alone as we keep talking about, that's going to be a big growth driver for us for the next few years as we increase per heads. So the U.S., we've just continually executed across our platform, been able to grow it and drive both revenue and AOI, while we've been equally growing the International business both at TM, Sponsorship and Concerts. So we think over long term, like most businesses that are global, we think that the International opportunity will continue to be a long-term great opportunity from a revenue and AOI. You've seen us move into markets like South America and Asia, South Africa and Eastern Europe, and those markets were relatively zero market share, will continue to be great long-term opportunities. So we think the business both is a U.S., Canadian opportunity for the next 5 years at minimum to keep monetizing our current business while we grow it and we'll keep growing internationally across our businesses. We don't see any real capital constraints. There has never been an acquisition or a bolt-on or something that we want to do that our balance sheet hasn't afforded us. As you know that, I think the beautiful story of Live Nation is we're not looking for large acquisitions outside of the core, it's still a very fragmented, mom-and-pop business on a global basis. So we've been able to take advantage of our bolt-on strategy, whether it's in Philadelphia or Milan, whether it's a festival or concert promoter or a venue. We can buy those with our current balance sheet. We're really good at synergizing those on a global basis and making them accretive very fast. So, we don't see any constraints to our balance sheet. We have a lot of capacity left on our balance sheet. But at the end of the day, most things we're looking to buy are going to be accretive, because they're down the center field of our core business. And when we buy a festival in Milan, a promoter in South Africa, we're bringing instant revenue and AOI to that business from our ticket sponsorship and content pipe. So continue to see growth both global, U.S. and our current balance sheet can continue to power that growth.
Brandon Ross - BTIG LLC: Great. And driving primary ticket price has been a big initiative for you guys and I guess industry wide this year. As you look back on the first half, do you believe taking price on tickets has been a successful endeavor for the industry? And do you plan to continue to push price as we think about 2019?
Michael Rapino - Live Nation Entertainment, Inc.: Yeah. I think we've talked out loud that there's still – it's not a precise number because it's not tracked, but $8 billion is used, but there is a huge secondary business that still exists, which still means that pricing inefficiency is alive and well for both sports teams and great artists, where the product primary price sold is leaving a lot of money on the table. So, we've said it over the last couple of years, I'll probably saying it for the next five years, as the market becomes more efficient, meaning the artists, the sports team, the content owner has a larger appetite to price higher, to take some of those tickets out of the business, the opportunity will be an ongoing annual opportunity for us at Live Nation, as we try to convince content that one of the great ways to maximize and minimize scalping is to maximize your pricing strategy. Now, there's also ways that you got to lower the prices in the backend of the house to make sure you sell through and there's no one simple strategy, but overall pricing and increasing the P1s or the VIP tickets or the platinum tickets, we do know is a great way to take some of the secondary business and turn it into the pockets of the artist and the sports team.
Joe Berchtold - Live Nation Entertainment, Inc.: And Brandon – yeah, Brandon, just giving you a few specific numbers, again, as Michael mentioned, amph and arena pricing is up double-digit so far this year. And at this pace, we'll deliver another $500 million this year to artists, and we think that's maybe 10% of the secondary opportunity. So, long runway to continue doing it, as we continue to get better and better pricing models and artists get more comfortable that they're the ones who should be getting that money as opposed to brokers.
Brandon Ross - BTIG LLC: Great. And just a quick housekeeping, can you speak to the mix of amphitheater shows in Q2 versus Q3?
Joe Berchtold - Live Nation Entertainment, Inc.: It would be roughly 30% as Kathy is double checking, but I'd say it's about 30% Q2, 70% Q3.
Brandon Ross - BTIG LLC: Great. Thanks for the questions.
Operator: And we'll go next to John Janedis at Jefferies.
John Janedis - Jefferies LLC: Thank you. Maybe somewhat of a follow-up to Brandon's question, but on the Sponsorship & Advertising business, you guys talked about European festivals, but with some of the acquisitions you've done and the global expansion, what opportunities are ahead for maybe LatAm or Asia to be more of a growth driver? Are the U.S. clients making more global buys now as a result, or will it be a combination, or regional and global and or local?
Michael Rapino - Live Nation Entertainment, Inc.: Yeah, our business is all three. We're selling – out of our 900 sponsors, we have a lot of sponsors that are buying the local Milan or Tampa Bay advertising package at an arena or amphitheater series. We have a regional business. And then you have the strategic global clients. So it works on all levels. The more – when we buy a festival and promoter and move into a market in Germany, it provides our Sponsorship team instant inventory for the local and regional sponsorship buy, which you need as a foundation. And when my team is talking to the CMO, CEO, at a global organization being – obviously laying out our platform and all of our touch points, and the more markets that we can touch, the more of an opportunity will present to that global brand. So, we are always been a combination of a local business with a central strategy and a central buying strategy. But you need local execution to drive both the sponsorship and then ultimately the concert.
John Janedis - Jefferies LLC: Okay. Got it. And maybe separately, over time on Presence, do you get to 90 million plus or 100 million fans over time with that or is it cost prohibitive as you move towards smaller venues?
Joe Berchtold - Live Nation Entertainment, Inc.: No, there is no cost limitation on it. It's just the ramp up. We expect fairly quickly for it to become the standard access control system.
John Janedis - Jefferies LLC: Okay, great. Thank you.
Operator: We'll go next to David Karnovsky at JPMorgan.
David Karnovsky - JPMorgan Securities LLC: All right. Thank you. We've recently seen your theater and club division at the new venues in Cleveland, and before that, Denver, can you just provide more color on the opportunity you see in this space? And then separately, do you see potential to expand your North America amphitheater footprint at all, just given the success you're having with on-site?
Michael Rapino - Live Nation Entertainment, Inc.: Thank you. We look at our business and there's multiple channels we want to continue to grow in. Festivals, we've talked about, and within festivals, the 100-plus we have now in that channel, there's sub-strategies within that. So we look at theaters and clubs the same. On a global basis, we're probably close to 200 that we may manage, lease or book, in some sense, U.K., Australia, Canada and the U.S. That division has been growing because you read about the explosion of the experience, and probably in your local town, what used to be a dance bar or a club now is a live bar and live music is alive and well, and 500 seat venues, and 2,000 and 4,000 seats. So, we've seen a new surge, whether it's in retail developments, malls being converted, where everyone is looking for a live club as a – one of their anchor tenants. So, we're talking to lots of developers all the time about adding a House of Blues or a film or one of our many 500 to 5,000 seat venues that are high margin, provide incredible platform for us, for our sponsorship, and our young artist network. So we're going to continue to looking in markets on a global basis, and if there's an opportunity with the right retail developer or a developer or a location that we think works, then we'll continue to expand there.
David Karnovsky - JPMorgan Securities LLC: Okay. And then, on the opportunity to expand your North America amphitheater footprint at all?
Michael Rapino - Live Nation Entertainment, Inc.: Same thing. We think the amphs are – again, lots of cities don't have amphitheater or lots of times the amphitheater is 40 miles outside of town and there's a new urban opportunity like in Boston and Toronto. So, whether we're looking in the U.S., Canada at upgrading or elevating our current position or we're looking at some international markets where we think – an outdoor amphitheater is a great experience. In our research, if you ask fans where do they want to see their band of choice, it's kind of obvious they want to see U2 in a small club than they'd love to see them outdoors where they can dance and have fun, and then the list goes on from there. So, we know amphitheaters and outdoor experience, social gathering, all those good things is a real important value proposition, and we'll continue to look for places to expand that makes sense for us.
David Karnovsky - JPMorgan Securities LLC: Okay. And then just on Ticketing, I think you did 16% AOI growth in the first half and you've got into high-single digit growth for the year. Can you just walk through some of the puts and takes for how to think about growth in the back-half? Thanks.
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah, this is Joe. We tend to see Q1 and Q4 as our largest quarters. Q4 is when the on-sales for the next summer starts, particularly driven by stadiums, and then in the Q1 for the arenas, and later in Q1 for the amphitheaters, and generally the size is a bit smaller in Q2 and then the smallest in Q3. So Q2 has got the trailing end of the amphitheaters and arenas and they're closed for the summer. And then Q3, you tend to have a lot less going on sale. So, less activity from the concert side.
David Karnovsky - JPMorgan Securities LLC: All right. Thank you.
Operator: And we'll move next to Drew Borst at Goldman Sachs.
Drew Borst - Goldman Sachs & Co. LLC: Thanks. Couple of questions if I may. Firstly, on the digital ticketing in the Presence system, then you guys talked about how you're going to ramp that up over the back-half of the year. Can you talk about the financial implications of rolling that out?
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah. These are not overly expensive systems frankly, our access controls. Our Presence systems are more standardized in terms of off-the-shelf components. So tend to actually be less expensive to deploy than it was for us to deploy our traditional systems. So, we don't think it's a meaningful cost, it's all within the CapEx estimates that Kathy is giving you, which is, I think sort of within our normal overall spending range.
Drew Borst - Goldman Sachs & Co. LLC: I was also wondering if, as you look out into next year, is there other benefits to revenue growth and some profit as you deploy it?
Joe Berchtold - Live Nation Entertainment, Inc.: Absolutely, there are benefits, as we get the data from the digital ticketing in terms of who the individuals are, their behavior, that has a substantial unlocking the marketing on both the Ticketmaster and the Concert side, and also provides substantially more value for our sponsors in terms of their ability to understand who exactly they're engaging with. I don't think we're ready yet to declare the timing on those benefits. But there's no question that those benefits will be an important driver of our business in years to come.
Drew Borst - Goldman Sachs & Co. LLC: Thank you. And then on the on-site spending, I appreciate the update and the increase in the guidance for on-site spending this year. As you look at over the next couple of years, 2019, 2020, how do you think about the roadmap to continue driving that growth?
Joe Berchtold - Live Nation Entertainment, Inc.: I think what we've said is, we're very focused on getting that number to at least $30 to put us on parity with the major sports teams, and once we get to $30, we'll reassess and give you guys the guidance and direction from there.
Drew Borst - Goldman Sachs & Co. LLC: Okay. And then just last one from me, recently Ticketmaster had a data breach in London. Could you just give us some color on if there's any risk of a penalty, because I think this would fall under GDPR, which was recently implemented. But could you just give a little bit of color on that?
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah. Just to correct one specific comment, it was a vendor of ours was breached. Ticketmaster systems were not breached. It resulted in the loss of some of our customer data, low single-digit percentage of our customers on a global basis. We're obviously working with the ICO, which is the EU GDPR body as they need to look at this. We do not expect any impact that will be material, given the number of people impacted, given our insurance profile, we don't see it as being a material risk.
Drew Borst - Goldman Sachs & Co. LLC: Okay. Great. Thank you.
Operator: And we'll go next to Ryan Sundby at William Blair.
Ryan Ingemar Sundby - William Blair & Co. LLC: Yeah. Hey, guys, thanks for taking the question. Just to follow up on Drew's question on Presence there. As you kind of roll out these – the 200 systems, do they all turn on kind of immediately or is there some kind of ramp period there?
Joe Berchtold - Live Nation Entertainment, Inc.: So the systems are all on immediately as you deploy them, and the systems are effectively, they're backward compatible. So, in general, to the extent there are any trailing PDFs out there, the systems can still take those and then on a go-forward basis, as it switches to all digital or a combination of digital and some sort of RFID or other stocks, then it can take those as well. So as we deploy them into our amphitheaters this summer, that was exactly how it worked, because there have been on-sales that had PDFs, those systems had to be able to be backwards compatible, taking those tickets as well.
Ryan Ingemar Sundby - William Blair & Co. LLC: Got it. Thanks. That helps. And then, I guess, I was a little surprised to hear that this will still be the second largest stadium concert year for you guys. So maybe, mix, is it still as big of a headwind as you thought it would be this year or has that maybe improved as you kind of got into the season more?
Joe Berchtold - Live Nation Entertainment, Inc.: I think we've always said we expected to have fan growth this year. It's just that we didn't expect as many stadiums as we had last year. So, just was trying to make that clear that it is our second biggest year, because we didn't want too much read into it.
Ryan Ingemar Sundby - William Blair & Co. LLC: Got it. Okay. Thanks, guys.
Operator: Our next question is from Doug Arthur at Huber Research.
Douglas Middleton Arthur - Huber Research Partners LLC: Yeah, thanks. A couple of questions. Just going back to mix, I mean, the number of events is up again really significantly, 17.5%, I think year-over-year for International and North America. The attendance was up nominally, 2%. So, obviously, you've talked a lot about the stadium mix. Is this just continuation of very strong club activity in the mix at this point? I know that was a factor in Q1.
Joe Berchtold - Live Nation Entertainment, Inc.: Yes, absolutely. Theaters and club business has continued to be very strong for all the reasons that David alluded earlier in his question. So to us, it's all positive.
Douglas Middleton Arthur - Huber Research Partners LLC: And you guys have made a – obviously done a lot of partnerships and some acquisitions, is there any way of kind of breaking out that impact on growth in Q2 in terms of new editions?
Joe Berchtold - Live Nation Entertainment, Inc.: No. It would be small, small, small. In the scheme of our 32,000 shows, you've seen everything that we've acquired. There's nothing that really is a dramatic, move the needle in terms of that fan base.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. And then, finally, Kathy, on the amortization of non-recoups. It's down this quarter versus last quarter, of course, so are revenues at Ticketing. Should we expect sort of a similar kind of number in Q3 and then a fairly – a larger number in Q4, because of the seasonality?
Kathy Willard - Live Nation Entertainment, Inc.: I mean, there's going to be a little bit of seasonality, and you can look at prior year, but we're still expecting full year to be consistent with last year.
Kathy Willard - Live Nation Entertainment, Inc.: Okay, great. Thank you.
Operator: We'll go next to David Joyce at Evercore ISI.
David Joyce - Evercore Group LLC: Thank you. I was wondering if you could provide some color on the supply of content, how you will keep growing that next year. Certainly is – are there just – are there a lot more artists who are on the roads? I was just wondering if you could kind of frame it for us, where the supply is, because clearly there's still plenty of demand and plenty of pricing to come. If you could just help us think about that for next year?
Michael Rapino - Live Nation Entertainment, Inc.: Yeah. We've said the last few years, we think there's more bands on the road, there's more events happening and more geographies that are being played now. So we think next year, the year after, on a global basis, there'll be more artists on the road playing some venue from small to big, and more fans going to those shows from a supply, demand. So overall, we think the industry is having a great, continued growth phase and we think it will last for quite a while, especially as the international and global markets start to build more venues and infrastructure to emulate a lot of the U.S. infrastructure.
David Joyce - Evercore Group LLC: And in terms of the ancillary revenue opportunities that you've created at the festivals and amphitheaters, when would you be fully build out on those opportunities where you own or operate the venues?
Joe Berchtold - Live Nation Entertainment, Inc.: I think we see there still being quite a substantial runway in terms of the opportunity. We've given you guys most of the information on amphitheaters, so they've been making nice progress. But as we really think in terms of the best-in-class hospitality, we think there's still substantial runway there. Festivals, again, there's some great ones like the BottleRocks out there, that are just phenomenal at how they're driving F&B and their overall average per fan spending. And as we bring more of that DNA into our other 100 festivals, still see a lot of ways to go in terms of driving those numbers.
David Joyce - Evercore Group LLC: All right. Thank you.
Operator: And we'll go next to Jason Bazinet at Citi.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Just had a market share question. I think this is right, in Concerts, there's I think now four distinct revenue items, there's the money you get paid for promoting something, there's the food and beverage and ancillary, there is venues, and then there is Artist Nation. If you just focus on the promotion side of concerts and festivals globally, where do you think you are now in terms of market share?
Michael Rapino - Live Nation Entertainment, Inc.: So, on a global basis, we might be somewhere in the 20s to 30s. There's not a lot of great data on a lot of the international markets. But if you looked at small club dates to street festival, the market can be defined fairly broadly, but we've said out loud that we think somewhere in the 20% to 30% global market share, huge opportunity obviously on a global market still.
Joe Berchtold - Live Nation Entertainment, Inc.: And then the other thing is just, we think that there's a lot of latent demand on top of the actual market today, especially for the top global talent that there hasn't had necessarily been the infrastructure to promote them through all of the markets. And as we do that, we think that will just build the market. So, that's the other reason that just makes it hard to give real, firm market share numbers today.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): If you don't win a mandate for some reason on the promotion side, someone turns you down, what's the most common reason?
Joe Berchtold - Live Nation Entertainment, Inc.: History another promoter, but...
Michael Rapino - Live Nation Entertainment, Inc.: Lots of competition out there...
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah.
Michael Rapino - Live Nation Entertainment, Inc.: ...locally, different basis.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Operator: And ladies and gentlemen, that will bring our question-and-answer session to an end and additionally bring to an end today's conference. We'd like to thank you for your participation. You may now disconnect.